Executive: Patricia Stratford, Acting CFO   Farid Suleman, Chairman and CEO   Judy Ellis, President and COO   Mike, Citadel Broadcasting Corp.
Analysts: Victor Miller, Bear Stearns   Eileen Furukawa, Citigroup   Jason Helfstein, CIBC   Mark Wings, Goldman Sachs   Lorraine Mancini, Merrill Lynch   Anthony Derementhy, Lyman brother   Joanne Martin, Gramathy Capital   Jason Helfstein, CIBC
Operator: Welcome to the Citadel Broadcasting's 2005 Fourth Quarter Earnings Release Teleconference. Today's call is being recorded. At this time, I would like to turn the call over to Patricia Stratford. Please go ahead.
Patricia Stratford, Chief Financial Officer: Good morning and thank you for joining us for Citadel's 2005 fourth quarter earnings call. Joining me for today's discussion are Farid Suleman, Chairman and CEO; and Judy Ellis, President and COO. I will review the financial results, followed by Farid and Judy. We will then open the call for questions. Let me note that statements on this conference call relating to matters which are not historical facts are forward-looking statements. Forward-looking statements involve risks and uncertainties which could cause actual results to differ. Risks and uncertainties are disclosed in Citadel Broadcasting's securities filings and at the end of our press release. This earnings release and other information related to the presentation can be found on Citadel's corporate website on the Internet under the address of www.citadelbroadcasting.com. I will cover our 2005 fourth quarter results and then turn the call over to Farid. Net revenues for the fourth quarter of 2005 were $108.3 million, a decrease of approximately $1.5 million or 1% compared to the prior year's fourth quarter. The decrease in revenues was principally due to lower revenue from political advertiser in 2005 compared to 2004, which declined by 2.9 million. Net revenues in the fourth quarter of 2005 were also affected by damage sustained at the Company's stations in the New Orleans market as a result of Hurricane Katrina in August, 2005. Revenues were higher in certain of the Company's market including stations in Allentown Pennsylvania, Modesto California and Tucson Arizona. Our operating income for the fourth quarter was $35 million, compared to $27.1 million for the same period in 2004, an increase of $7.9 million. This increase was primarily due to a decrease in depreciation and amortization expense since the company advertiser base assets were substantially fully amortized as of December 31, 2004. On a station operating income, which we define as operating income plus depreciation and amortization, local marketing agreement fees, corporate General and Administrative expenses, other net and other non-cash expenses were $45.9 million in Q4 of 2005 compared to $48.2 million in 2004, a decrease of 2.3 million. Net interest expense for the fourth quarter was $6.1 million compared to $3.9 million, an increase of $2.2 million compared to the same period last year. The increase in interest expense was due to an increase in outstanding borrowing and higher interest rate under the Company's senior credit facility. Net income for the quarter ended December 31, 2005, was $16.8 million or $0.14 per basic share, as compared to $30.8 million or $0.11 per basic share for the same period in 2004. On a fully diluted basis, net income per share was $0.13 in Q4 of '05 compared to $0.10 per diluted share in 2004. Basic outstanding shares for the quarter ended December 31, 2005 were approximately $140.7 million, compared to $126.2 million for the same period in 2004 and diluted shares outstanding were approximately $131 million, compared to $142 million. Our free cash flow, which we define as operating income plus depreciation, amortization, other net and non-cash expenses, less interest expense, excluding amortization of debit issuance costs, capital expenditures and cash taxes, were $34.5 million for the fourth quarter of 2005, compared to $39 million for the fourth quarter of 2004, a decrease of $4.5 million. The decrease was due to lower station operating income and an increase in interest expense. Our capital expenditure were approximately $2 million for the fourth quarter and $8.1 million for the year. We've reported depreciation and amortization expense of approximately $5.5 million for the quarter and approximately $22.3 million for the year. During 2005, we've repurchased approximately 12.1 million share to our common stock for approximately $160.8 million. Since the inceptions of the repurchase program, we have repurchased approximately $19.8 million shares of our common stock or approximately 15% of our outstanding stock. As a result shares outstanding as of December 31, 2005 were down to $114 million, a reduction of 8.7%, compared to $124.9 million shares outstanding as of December 31, 2004. Finally, our debt outstanding as of December 31, 2005 is approximately $663 million, compared to $616 million as of December 31, 2004. I will now turn the call over to Farid.
Farid Suleman, Chairman and Chief Executive Officer: Thanks Patty, just a couple of highlight from the fourth quarter. Yet our revenues were down 1.4% or about a $1.5 million. Political revenues were down from $3.3 million in last year's quarter to about 400,000 this year so that accounted for about a $2.9 million decrease. New Orleans revenues were down just under $1 million from last year, but were down significantly for where we would have expected to be because of the improvements we have made in New Orleans and finally, this was the last quarter of the turn comps until beginning with next year, we will have recycled through all of the stern comps, we feel good about that. But in spite of all the above for the full year, our revenues were up 2% our station operating income and our EBITDA was up 4%. Our free cash flow went up from a 136 million to a 138 million, and with the decline satisfied in our shares outstanding of 8.7%, we have yet another year of free cash flow for share increase of over 10%. And in light of everything that happened this year we were really proud of those results. Looking into 2006, we expect revenue growth overall to be stronger in 2006 than we had in 2005, this is excluding any acquisitions, and we would expect another double-digit free cash flow for share growth. This is in spite of obviously returning 5%, dividends to our shareholders we have already had two dividends in place already. The phasing for the first quarter right now is over 2% increase, January and February have both looked like they are going to finish at or slightly over 2%, so we feel good about the phasing for the first quarter at the levels we have indicated. We would expect the phasing to improve in the second half of the year because of obviously the easier comps and no political. We've recycled the stern stations both in terms of ratings and revenues now, and New Orleans will obviously beginning with end of August and September, we will have that in the comps, but overall revenues also increasing in New Orleans as each month goes by. Also from national category, as everybody knows some people reduce their radio commitments significantly beginning with May of last year, so beginning with May of this year home people will not be in the constant game, even though their indications that home people are actually coming back to persist some good orders in the first quarter in our Southeast market already. So overall we feel good about 2006, and we think it will be a better year than 2005, and with 5% dividend we expect our shareholders to get a nice return. Judy will add a little more color in terms of specific categories in some programming changes as made.
Judy Ellis, President and Chief Operating Officer: Thank you Farid, we recently made changes in method tendency, we added a classic rock radio station, that radio station is now number 22554, in Birmingham we launched a Herban AC that also is a top fly on key demos, changes that we've made in Harrisburg have resulted in gains in all of the stations there. Recently we have made changes in Lansing, we changed one of our oldies radio stations to a CHR doing quite well, and in the last month we've launched three Black Rock radio stations in Baton Rouge, Little Rock and Esculenta. In fourth quarter the categories that were up were banking, insurance, restaurants, and fast food, entertainment and gaming. Gaming is an interesting category because we have radio stations in market with Indian Casinos that Albuquerque, Providence, Buffalo, Louisiana, Tucson, Modesto, Deccan they have budgets for constant events in new casinos and the competitive trending of resale for debt. Down categories in fourth quarter were auto, telecom and home improvements. In first quarter, we're seeing increases in telecom lead by AT&T and Alltel, insurance, entertainment and once again gaming. Auto was down home improvement is down. We're seeing some hot categories along with gaming is furniture, mortgage, department stores, media, cable, medical which include clinic, centralized surgery growth studies, prescriptive drugs, and in terms of request for avail we are seeing an increase in 10s and 15s request for 10s and 15s not so much for 30s and that's it. Okay thank you.
Judy Ellis, President and COO: Okay, thank you Judie. I just want to give a quick overview of obviously of the biggest transaction was made at Citadel the merger with ABC Radio. We're obviously limited to what we can discuss about that at this position, about the merger and I just want to review of the basic terms so that everybody is aware of what the deal was. Citadel is going to merge with ABC Radio in a reverse more stress transaction, the transaction values, ABC Radio including the network at $2.7 billion the consideration is made up of $1.4 billion in cash and $1.3 billion in stock. The average stock price of Citadel stock prior to and that was configured by prior to the signing of the deal was $12.68 so that's midpoint of a color that is structured around the deal. There is a minimum of a $2.46 dividend to every Citadel shareholder at closing and that dividend can go up, if the stock price during the measurement period at closing is over 12.68. If the stock price is below 12.68 there is an adjustment to increase the cash portion of the deal by a maximum of $250 million. The combined company will be cultured on communications, the merger creates a largest show play radio operator 2007 revenues that are expected to be over a $1 billion. This was significantly increased the scope of the combined company. The top 9 markets of ABC include five of the top five markets combined with Citadel mid-sized market I think create a great platform. The national ABC Radio network is a great radio network and we were very proud and we look forward to working with that, clearly the merger will enhance syndication possibilities and really diversified revenues, not just from stations but also from the network and syndication. We would, clearly the leverage would be higher, however we have provided for a comparable dividend in terms of percentage. So, if for example we adjust the stock price with a special dividend of $2.46. Our current intentions are that we will continue with $0.50 type dividend, which would give us similar yield adjusted for the special dividend. So, really very, very excited about the merger there are great stations, great management in the combination will make the combined company a very, very strong and powerful radio company going forward. And I think with that, we'll turn it over for questions. Operator, can you open all the questions.
Operator: If you would like to ask a question, please press the "*" and "1" on your touchtone phone. You may withdraw you question by pressing the "#" key. Once again to ask a question please press the "*" and "1". We'll take our first question from Victor Miller of Bear Stearns. Please go ahead.
Q - Victor Miller: Hi good morning Farid.
A - Farid Suleman: Good morning.
Q - Victor Miller: You know obviously you just talked about that the 246 special dividend you could even then higher than that for stock silver 12.68 I believe, investors still continue to get the dividend at the rate of $0.72 annually till that point, probably going to establish at similar type of yield after the deal closes. Then I want to ask you, can you repurchase shares through the closing and the fact that adjust a share debt mix by the time you close? And secondly, a little bit more on what you were just talking about? You ran a large market radio group and the radio network, what operational opportunity do you see, you know, immediately available to you, you know what once this deal closes, I imagine still targeted October or so? Thanks.
A - Farid Suleman: Thanks Victor. I guess those are all the questions all-in-one. So we should probably end after your question. First, it's really good point, the bio Citadel or Non-Citadel share today. We'll get several $0.18 a quarter dividend and we expect the deal to close by the fourth quarter. So there is at least 3 more dividends, that they will get of $0.18 or $0.54 over the next three period. We can continue to buyback our stock in the interim, there are limitations obviously during the third and the size. But clearly, we can and we will continue to do so in the interim. In terms of the major market I think, there are 2 parts to the ABC Group that makes you very powerful from a radio station perspective. One is the fact that they have really very, very strong powerful AM stations, and in today's environment you know, maybe even competing with that live radio. You want to be in a local content driven area and the combination of news, talk sports makes those AM which are up, which are more than 50% of the pensions are very, very powerful element in the field. And even on the FM station they are very strong stations you know, all work in the major markets, we know what the benefits are of personality driven station. So, whether its New York, or Los Angeles or Dallas you can see even in Minneapolis every single ABC station is very powerful driven, FM personality session so, we’re very excited about that and we hosted the combination of all of the forces that we bring together here we'll make for you know, really this is going to be a not a revenue growth opportunity. You know whenever we talked about synergies, to us the synergies is not about a one-time cost cutting. It is about using the combined resources of both companies, and both companies have really good, very experienced management, we have very good platform, we have the biggest market with the coast to coast coverage with what we call the hot end and the state capitals for Citadel stations for instance. They create a great platform. And really the real synergy is, you will be able to continue to attract personalities and management at all levels of the companies. So, that's very exciting. The network I think is the huge opportunity. You know in addition to providing for really good revenue growth it really provides for the ABC's News I think, it's one of the best Radio news in the business, a lot of out stations have it, every one of our serial stations is going to have it going forward. The ABC Radio News is going to be huge affiliation to its ESPN it's going to be very powerful here. So, the network is really a very, very exciting opportunity for us to grow. You know a lot of personalities in the big market, small market, all one of it's indicated to have a platform of large markets and medium sized market combined make launching of such personalities a lot easier because you can have them tested in some market that are owned in our budget and then, as soon as they're successful in that ratings, you could launch them through the network very quickly. So I think it's going to be a win-win, both from a network and a radio station perspective.
Q - Victor Miller: Thanks Farid.
Operator: Okay our next question from Eileen Furukawa from Citigroup. Please go ahead.
Q - Eileen Furukawa: Hi, thanks for taking the question. Just a couple of quick questions, following your transaction, are you going to considered divesting in some of your non-market stations to better focus on you core new large market station? And also post merger if you are starting you are going to continue to be the turning to cash flow to your shareholders even beyond that dividend by implementing any, should we expect to see even post merger you continue to buyback your share on a regular base, and then my final question is on expenses, we’ve seen some of the appeared and talk about reinvesting in the business this year and raising their expenses to about historical rates, and we are wondering whether or not you are planning to do so? Thanks
A - Farid Suleman: Thanks Ellen. Just to, I’ll try and I think I made a note of all of your question but if I missed just come back. As far as the divestures are concerned, we have been recently approached about certain markets that we would not considered our core market, and we clearly would divest of those. We have also in approach on a couple of fix that we have that really has not give cash flow but they were part of the growth really going forward, and right now in light of this merger clearly our efforts and management would be better directed at some more higher cash flow situation than sort of smaller and lower cash flow situations. So my guess is that you will see some divestures, some sooner, some in the course of the year, and we would predominately use that to pay down the leverage. In terms of the use of free cash flow going forward, clearly the first priority is maintaining the dividend, the second priority going forward is increasing that dividends as we go and the third priority would be to reduce leverage in the short-term. So my guess is that over the next couple of year we would be concentrating on the growth in free cash flow of paying down debt as well as using the higher incremental amounts of free cash flow to possibly including the dividends that will be the primary need. Remember we have no need to make acquisitions in time, so we are going to use, predominately we don’t need that much capacity or anything like that sort of to maintain, lower leverage to make acquisition so. We are going to use all our free cash flow predominantly to, including any divest features to pay down debt and then grow the dividends. Did I answer all your questions?
Q - Eileen Furukawa: Yeah, last question is whether or not, do you think you have to increase your expense growth about historical rate to be investing your business like some of your peers are doing this year?
A - Farid Suleman: I will let Judy also answer, my view is that we have been always investing and whenever we need to invest we will invest in our business, so I am not aware of any unusual, ratcheting up that we have to do going forward, but I mean as far I am concerned I am always looking for, what will I call redeploying costs away from administration and then into programming and sales. So we would continue to do that but I am not aware of anything of that situation.
A - Judy Ellis: No, we have never stopped marketing, we increased our marketing, where we think there’s going to be a return, we are currently doing research projects in 3 of our markets as we see. And there has never been a – we never turned that pass it off, so there is no reason, to get stronger, we do what we need to do, point to help of the radio station in the market.
A - Farid Suleman: And in fact I think because of this merger the amount of access to better programming, different programming, different personalities will be even more particularly for the sale outstation direct us what at the ABC brought at the radio network and at the ABC radio station. So I don’t see us venturing up anything in the next 12 months.
Q - Eileen Furukawa: Okay thanks you very much
Operator: Okay your next from Jason Helfstein from CIBC, please go ahead.
Q - Jason Helfstein: Thanks, three questions. First, you guys have an opinion on the convert, will you be able to keep that convert or is that going to happen to be cashed out as a result of the merger? And then refinance, question number 2, Farid, can you take us through the approval process, I think we saw something about the SEC, already on the wire but, just kind to give us a timeline of this different approval process you need including perhaps kind of business droving from the IRS? And then lastly I am not sure if you are going to want to speak to this but, ABC rating base on our calculation have been quite weak over the last few years, do you think of this as an opportunity and if so can you talk about perhaps your strategy thinking about rating of those stations? Thanks.
A - Farid Suleiman: Thank you Jason. In terms of the converge there is a very specific indenture that lays out all of the requirements and the definition is under the indenture where is the bonds will be comfortable lets go to fundamental change and both the company and the accounts of advice that this transaction will not result in a fundamental change and accordingly, we expect that convert to remain outstanding. The approval process, the most complex approval process will obviously be the IRS and that’s the one that will take the longest will believe and will colleague go into the fourth quarter. The SEC approval process because of the minimal no over lapse really is going to be relatively straight forward and the same will be true of the antitrust - approvals because we don’t have over lapse, so we don’t expect those two approvals to be other than standard 3 to 6 months approval process but the IRF ones could be 6 months or maybe a little longer. In terms of ratings, rating kind of go up and down, there is absolutely nothing fundamentally, structurally that has happened at ABC, my guess is that after a while when assets as though upward sale after a lot of the deals were changed and the due diligence kind of takes away some of the attention but I think John Haier and Mitch Donald are totally focused on the ratings and I think if anything there’s tremendous scope for improving the rating from here on so structurally there is nothing wrong, the business is inspiring and we expect the ratings to settle down and it grows from here.
Q – Jason Helfstein: Okay thank you.
Operator: We will go next to Mark Wings of Goldman Sachs, please go ahead
Q - Mark Wings: Great thank you. You cost on the radio network business, do you think that satellite has being spread in or across satellite terrestrial and then do you see the opportunities to maybe consolidate that talent across the industry either organically or via acquisition?
A - Farid Suleiman: It’s a very good question, I mean right now, you clearly have a competition from satellite in terms of attracting calendar away from radio, and obviously money is a big attraction. The good news is that I think based on statements from both companies; I think they want to focus now on producing cash flow rather than just increasing their expenses further. And the competition it's top when somebody opens you know a better amount of money, you are not driven by short-term cash flow its hard to compete but my guess is that the platform that we have now really enables, what I think is more important is the development of new talent and the new talent I think will be, that development are current structure between ABC and Citadel will allow for more room to develop such talent and, there is already some really good talents within both the radio networks and the radio station so, it's been hard to find really great talent, ABC and their network channels have some really good ones, ABC stations has some, we would expect that part of the business to improve significantly at the network level going forward, Judy you have any other views on that.
A - Judy Ellis: The opportunities for syndication needs to start at the local level and much here you are taking a personality like Riley and as we said there is a lot of great personalities at the local level with ABC and at Citadel so those are for opportunities for the future.
Q - Mark Wings: Okay, just one quick follow-up, in working with ABC in '06, how soon do you think you can begin to like implement changes to across the consolidated platform to position the business for '07, like other opportunities to do anything pre-closing?
A - Farid Suleiman: I think there will be opportunity to have discussion and exchange bureaus but clearly, we will not be making changes to each others stations right now. But everybody wants to do the right thing, and if discussions lead to certain changes or improvements across both firms we will clearly make those changes, but we don’t intend to make implement changes prior to closing, I think those just happened through discussions and what each management group does to their own radio group.
Q - Mark Wings: Right, thank you.
Operator: Once again if you would like to ask a question please press the "*" and "1" on your touchtone phone, we'll take a question from Lorraine Mancini of Merrill Lynch, go ahead.
Q - Lorraine Mancini: On your 1Q station, your numbers was substantial better than what we heard from some of your peers yesterday and I believe most of your acquisitions already they are going during your same station numbers which may dissolve for up if I am not mistaken, so can you discuss what some of the drivers are is it rate, is it occupancy, is it market size, what do you think is making your growth much stronger in 1Q?
A - Farid Suleiman: Our markets are sort of where we do business, and right now the growth is across both, locally does and I think might have nationally thus also right now, slightly. I think it is a function of what we've been doing all along throughout the year in terms of programming improvement and improving our management, improving our sales, so it's sort of across the board, I don’t think there is anything particular, I mean right now, we are not entirely happy to tell you the truth with our 2% revenue growth, because we expected it to be higher than that. And we had a good quarter last year, so we are not looking at comparing the quarter that was down, we were up last year so, I'm not aware of any particular trends I think we're just doing a lot of hard-work with just a lot of singles no home run. Judy what's your -
A - Judy Ellis: It's a combination of many things, we have a very strong new business development system in place. Every market has a 2006 sales strategy, we have recruitment strategy, I think as Farid said we hired some very strong manager, we are really watching our inventory and we've been very focused on solutions and result of the clients.
Q - Lorraine Mancini: And are your rates up as what?
A - Judy Ellis: Yes, the rates are up and actually we withheld rest of our inventory moving forward.
Q - Lorraine Mancini: And then do you expect as your peers do that each quarter it gets sequential better throughout the year?
A - Farid Suleiman: Yes, I mean in our case even if the overall business remains status quo just the comps get easier for us, as I said, home depot comps go away beginning with April or May, and the reverse that home depot actually is coming back in some of the markets, and actually be a benefit. New Orleans which pretty much went away towards the end of August, has been picking up and so you get a double benefit in terms of quarter-to-quarter improvement because in our activity is picking up, new casinos are opening in New Orleans that the mardi gras so, our revenues are improving every month there, and then when we are rich focus in September, they are no longer in the comp, the fourth quarter this year business kind of slowdown particularly in December, so the fact that it picked up in January and February for us shows that with each quarter we should do a lot better and then Judy mentioned some of the programming changes we made last year and those ratings should kick-in and or in some cases already kicked in, so between Birmingham, Harrisburg, Memphis, as we have mentioned New Orleans, I think that combination should make for sequential improvements in that quarter assuming the regular revenues sort of stay where they are. If the radio business improve, which I think well overall you should do a little bit better than that.
Q - Lorraine Mancini: Thank you.
Operator: Our next from Anthony Derementhy of Lehman Brothers, please go ahead
Q - Anthony Derementhy: Good morning and thanks for taking the question. I'll follow up to Mark question about network consolidation and I wonder even if you don’t have change in ownership, would you considered letting another network entity manage, manage the sales programming inventory management all are less with one with Infinity, does that provide you with any benefits and I am just thinking that we will provide two of your benefits in terms of aggregating of your content in the town? And then also expanding the distribution of the number of affiliates in inventory, that is available to that content, and maybe you can let me know from thinking about that the right way? And then my second question is just what were your leverage rate, your net debt to EBITDA ratio be performed in the transaction, if you have done the calculation? Thank you.
A - Farid Suleman: Okay thanks Anthony. You know, I have said it several times in the past that I think the ABC radio network is a great, great opportunity, I know the radio network business I know for example what ABC radio news brings so we know what some of the great syndications are there and we look at the opportunity that we will have to leverage this platform going forward. I don’t know why I would want to give up my upside and let somebody else do a better job but you know if somebody else can do a better job
Q - Anthony Derementhy: No never access to those incremental affiliates, I know the affiliate agreements that you had broaden, you actually broaden your distribution, that's all I was thinking. Thank you.
A - Farid Suleman: I think you are right, I mean there are all kinds of structural problems with some of those, if you take your business and turn it over to somebody else, what state it will be when it get it back, so I think, its hard to just turn over your business and tell somebody you are manager, and then unless somebody guarantees you 30 years of cash flows with exist multiple and everything is guarantee, its kind of a hostage because you’d have to do away with sections of certain businesses in order to create synergies and duplicate infrastructure supposed we’d go away but I will tell you right now, the ABC Radio networks as for including the top two of the top ten radio RADAR very good network. It has a great platform, is has over 4000 affiliation, so there is always a possibility if somebody has the better master who would always look at it, its all about money because there is no pride of ownership, so we would always look at it, but right now I see some great opportunities in the radio network business that I think will reflect on the combining growth going forward.
Q - Anthony Derementhy: Okay and any, and what's your proforma leverage ratio in terms in if we had the rate?
A - Farid Suleman: Yeah, it will be somewhere between 6 and 6.5 going into, as soon as the transaction closes towards end of '06 and looking at the EBITDA for '07, we would expect it to be between 6 to 6.5 depending on where the special dividend ends up, there is a possibility obviously the stock price goes up, the dividend also goes up. So we would not want to be on a sustainable basis, we would want to be below 6 that’s where we are going to be ending towards but at closing it probably gets around 6 to 6.5
Q - Anthony Derementhy: Great, Farid, thanks for taking the question
A - Farid Suleman: Okay just one of the point on that leverage, I mean those of you who known how I run company, I have not overly fond of big levels of leverage but the leverage will all be bank set, we already have a commitment on the bank debit, its relatively attractive, probably one of the best deals for the kind of leverage in the marketplace. We have a really good bank groups so our interest expense particularly with the convert will not be honor us, which allows us to be able to have rev the dividends and what not in place so we don’t anticipate high yield financing or anything of the like here
Operator: Once again if you would like to ask a question please press the “*” and “1” on your touchtone phone. We will go next to Joanne Martin of Gramathy Capital.
Q - Joanne Martin: Hi Farid.
A - Farid Suleman: Hi Joanne, how are you?
Q - Joanne Martin: I am very well. This is all seems very exciting to me, and I am sure it is for you, and you have a perceptive on the radio business very well. You've seen the radio business go up and down in popularity. And right now it's certainly you know down. So I just wonder if you and your associates would give me your perspective, I mean you're obviously doing a big deal, you are going to become the leading radio company. Everybody would telling you that radio is dead. You know and I don’t think so but I'd like to get your view and why, what’s the greatest opportunities that you see going forward and as part of that, do you think that radio is in the doghouse because it's just -- and there was that mention earlier about inventory and your selling lesser in higher prices. If you adjusted it was just getting to clutters?
A - Farid Suleman: Thanks Joanne. The radio business prior to the big consolidation that happened in 1996 was, you know in some respect far business with ten operators in anyone of the big market. And it was a very competitive business and it was a very good business, it generally did well when the markets were booming and when there was a recession it did relatively well because there was such a good buy. I think with consolidations particularly between '96 and 2000 that coincided with probably one of the greatest demands that I've ever seen in radio. Judy is a lot older than me so she can really give a more of a bigger perspective if there were similar booms before I came into the business. I'd never seen anything like it so you had a good business, orders were coming into that company was just going public one a week, telecommunications was big technology was big, travel was huge and you could consolidate touch down on the sales people they use commission because orders are coming in. You didn't need to develop that much in your business. And I think it would be an ending of the internet booming the fourth quarter of 2000 and then with 9/11, suddenly I think my view is that radio companies that were small businesses were certainly multi-billion conglomerate, huge businesses and spend during the business stops. It's started what I quote pricing for share and pricing for share was something you had to do because you had your sales people. And I think that pricing for share let to a downward spiral and also expectations amongst the bigger advertisers that you could get a good deal. So, where the business went from you know what kind of an increase could you get away is it 5%, 6%, or 10% to where for a 5% or 10% reduction you would get a bigger share of the business. And that's I think combined with trying to compensate for that declined in rate through more inventory, I think sort of, have had some what I would call semi-permanent damage to the business, to go back and look at the fundamentals of the business excluding the advertising, I am not sure you can do that, but just looking at the core business from an audience standpoint people still look into radio listening still is in, I think the decline in radio over the last five years has been 1.5% and it should had been even 1.5%. But there is segmentation across all of the media in today I would rather take the radio platform in terms of fragmentation with satellite and everything that's out there compared to any other media business even the internet business is now getting competitive and being segmented. So my belief was that we'd seen the worst of the pricing per share. I think we generally have try to respond with the less or more and some portions of it will work very effectively. The fact that you've reduce the inventory mix that the remaining inventory more valuable, your product gets better, and I think going forward the next stage is to sell your inventory better and sort of go back somewhat to the old days of developing new business both local and national and put fundamental pressure on your pricing. I think just the absence of negatives of pricing per share that was there for the last 2 to 4 years are going to go way, and I think the next challenge is to build the business. As clearly with you all, we could sort of walk in develop local business, that was very helpful for us to develop national business which not being in the top 20 markets, it couldn’t really go to home depot and make a picture of Citadel when you've been in the net coverage in the top 20 markets. I think with this merger, one of the big benefits is that we will be more in control of our destiny from developing new national revenue for our company compared to what we had in the past. So, you know long-winded answer, I think the worst in radio is over. I think the challenge is to grow revenues and this merger gives us an opportunity to go out and develop new business.
Q - Joanne Martin: And I’ll interrupt and just say, you know you haven’t talked at all about the programming side. Do you think that with this tremendous consolidation of radio, power in a few hands that everybody went to the modernized format that became the talents to the listener?
A - Farid Suleman: I am not sure that has happened across the board. I think that has happened with some companies. I mean, I know at Citadel since we are right here almost 3.5 to 4 years now. We’ve actually invested in developing more and more local personalities because that, that's how radio was and at ABC there is a lot of local personalities including on the AMN VSN. So programming if it’s good programming whether it's national or local it will work and you always want to bring in good programming but you know don’t want to bring in that programming in market where it may not work just to save cost in the short-term. I think today, the rating generally has been improving I think that product is better overall and a number of companies have said that they are spending more in improving the programming. So I think the companies are responding I think programming is getting better, the fact they address commercial, and there will be less even with the companies that went out and you know put the same programming across the board. I mean you know, turn is now gone and you know Infinity brought in four different kinds of shows to replace just the one personality and some will work and some may not work, but at least you know they're doing something and they're developing new source of programming so I think that will continue. I think that’s why we wanted to develop in radio.
Q - Joanne Martin: Well, thanks a lot.
A - Farid Suleman: Thank you
Judy Ellis, President and COO: Gloria we have time for one more call
Operator: We'll take one more question from Jason Helfstein CIBC. Please go ahead
Q - Jason Helfstein: Hi, just a quick follow-up, Farid you said that all the financing is going to be from the bank. Can you give us the rate or the spread versus livewire that you've included through bank deal?
A – Farid Suleman: We are looking at anywhere between liable plus 1.5 for a portion of the deal in liable plus 1.75 on another portion of the deal, but both of those would ratchet down if the leverage drop.
Q - Jason Helfstein: Okay. Thank you very much
Judie Ellis, President and COO: Thank you all for joining us on today's call.
Operator: This concludes today teleconference. You may disconnect at any time, thank you for your participation and have a wonderful day.